Operator: Welcome to Century Casinos’ Q3 2016 Earnings Conference Call. This call will be recorded. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I would like to introduce our host for today’s call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Good morning, everyone, and thank you for joining Century Casinos’ third quarter 2016 conference call. With me on the call are my Co-CEO, and the Chairman of Century Casinos, Erwin Haitzmann; and our Executive Vice President of Finance, Margaret Stapleton. Before we begin, we would like to remind you that we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The Company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and we encourage you to review these filings. In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to, adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-Q filing from this morning, available in the Investor section of our website at www.cnty.com. We will now review the Company’s financial results and following our prepared remarks, there will be an opportunity to ask questions. In constant currency, net operating revenue for the quarter was up 4%, while adjusted EBITDA was down 6% year-over-year. Our strongest segment, which is Canada, which provides 43% of our consolidated EBITDA, so revenues decreased by 2% and adjusted EBITDA by 14%. The number one reason for these declines was the extensive construction remodel work going on during the quarter was in substantial disruptions on the gaming floor at our largest property the Century Casino & Hotel in Edmonton. We are pretty sure that without these disruptions not only the Canada segment would have generated revenue and EBITDA increases, but we would also have seen real EBITDA growth on a consolidated level. In other words, we are quite happy with this performance despite the construction and we’re even happier with the final result with a new design, the new poker room, the new bar, and especially the new beautiful VIP and private gaming rooms in Edmonton. We’ve posted some pictures on our website and I encourage you to take a look our customers love it. The entire decline came from the tables not to our surprise because of the construction works. It’s great to see that slot revenue was stable in Edmonton. Property has a total of 794 gaming machines right now and we believe we will get more soon. I think we have more space available. The casino renovation project has been substantially completed this week and we look forward to a strong finish to the year in Edmonton. The Calgary market where we have two properties remains challenging and a bit of a mixed bag while the Century Casino Calgary started with lower volumes on the gaming tables during the quarter, the Century Downs, Racetrack and Casino had a really good quarter with revenues up 13%, EBITDA up 38%, and EBITDA margin of 41%. Most of the growth came from the slots of course. Our OPP revenue and ABW revenue that’s online in demand deposit ration picked up strongly at 2%. We continue to push our royalty program signups into specifically targeted markets of North and Northwest Calgary, both of which do not have a casino. The U.S. operations in Colorado showed a very solid performance. Revenues were up 3% and adjusted EBITDA up 5%. Overall, they generated 29% of the company’s consolidated adjusted EBITDA. The economy and the consumer sentiment integrated in Denver and Colorado Springs metro areas continue to be strong. The Century Casino and Hotel in Central City serving the great Denver market was strong of the two Colorado properties. The growth came from so far were currently increased by 12% year-over-year. But having that Q3 revenues also showed competition decreases. In Cripple Creek, our plans to convert one of the long casino buildings that we owning a 32 room a big hotel and we should see the start of development works this quarter still. The expected completion date is at the end of next year. The existing 21 room hotel has a 90% occupancy rate and has won the 2015 Best of Cripple Creek award. More than doubling our hotel capacity, would help us to stay competitive in the market for higher end players from the Colorado Springs area. Now with Europe, where our eight casinos in Poland had another very good quarter, revenue was up 11%, adjusted EBITDA was up 18%. And that EBITDA number even includes the considerably higher stock costs due to the unfavorable tax ruling on increase. Poland was responsible for 26% of our total adjusted EBITDA in the quarter. According our slots, 80 percentage this quarter respective growth from the slots to 5%. The increase of gaming tables was 16% mainly driven by a great performance of our flagship property in Warsaw. That concludes the round up of the performance of our largest operating segments in the third quarter. Overall, we are quite pleased with our progress all operating segments are in good shape and still of a potential for further improvement. Besides closing solid – we’re hosting very stronger project development front during the quarter. We are very excited about the closing on the first of October of the acquisition of Apex Casino in St. Albert, Greater Edmonton. We have acquired the casino including land and buildings by net purchase price of CAD27.9 million, which equals about US$21 million. The casino operates 382 slot machines and 11 gaming tables it features a restaurant a bar a lounge with entertainment stage and banquet facility for up to 175 guests. St. Albert is the second-largest city in the Edmonton Capital Region and city limits are directly adjacent to the Edmonton. The casino is located off of the main ring road and is approximately 11 miles from our own Century Casino Hotel in Edmonton. We have renamed the property to Century Casino St. Albert and we expect some operational symmetries between our two Edmonton casino operations. But we believe we have a project with an even greater potential than is in St. Alberta acquisition. Last month we were selected as the successful applicant by Horse Racing Alberta to own, build and operate a horse racing and gaming entertainment facility in South Edmonton, which we will call Century Mile. Century Mile will be a one-mile horse racetrack a multi-level racing and entertainment center, which will include a gaming floor with a minimum of 600 slot machines as well as food and beverage outlets. The proposed location is on Edmonton International Airport land and close to the city of Leduc, just south of Edmonton ideally positioned off Queen Elizabeth II Highway. First part estimates called by total project cost of approximately CAD52 million and equals about $40 million U.S. and the completion date towards the end of 2018. Looking at the success of our Century Downs, Racetrack in Casino Calgary and understanding the potential of the underserved market of South Edmonton we are very excited about this opportunity and we’ll work to all open issues, as soon as possible with all stakeholders into process, including but not limited to the Alberta Gaming and Liquor Commission, Horse Racing Alberta and we do count in Edmonton Airport officials as well as their corporate and enterprise associations in Alberta. Let’s now take a look at our balance sheet, for the St. Albert Apex Casino acquisition we entered into an amended – we enter into an amendments to our credit agreement with BMO that increases our flooring capacity to CAD69 million it equals approximately $52 million and as of today the total amount outstanding is $42 million. Our balance sheet is in great shape even after that, the net debt to adjusted EBITDA is a mere 1.1, excluding the money spent towards this St. Albert acquisition capital expenditures were $1.3 million or 3.8% of revenue mostly spent on our properties in Edmonton at the Calgary Racetrack and Casino as well as in Poland. Book value per share increased by 8% from $5.01 to $5.39. All right, that’s the end of our presentation. And thank you for your attention and we can now start the Q&A session. Operator, go ahead please.
Operator: Thank you. Ladies and gentlemen at this time we will conduct the question-and-answer session. [Operator Instructions] We have a question from the line of a participant who’s information couldn’t be gathered. Caller, please state your name and company. Your line is open. Caller your line is open. And we have another question from the line of a participant who’s information couldn’t be gathered caller please state your name and company. Your line is open.
Robert Labick: I’m sorry, do you hear me? This is Robert Labick from CJS Securities.
Peter Hoetzinger: Yes, now we can hear.
Robert Labick: Hey, Peter I’m not sure if you heard my first question.
Peter Hoetzinger: No.
Robert Labick: I was asking about the renovation Edmonton, how much did that cost in Q3? When did you complete the renovations and has traffic now improved in October?
Peter Hoetzinger: Erwin, could you please comment on that?
Erwin Haitzmann: Yes, yes. The total cost $2.5 million, renovation is done. And we are seeing the volume come back, it’s coming back again.
Robert Labick: That’s great to hear. And as it relates to the recent tax rolling and pulling, can you give us any update on the outstanding employee union negotiation?
Peter Hoetzinger: Still going on, right?
Erwin Haitzmann: Still going on, yes, but we expect in as Peter earlier said efficient cost to the company.
Robert Labick: Got it. And on the Apex acquisition I thought that you gave us pro forma results. Could you, I guess breakout what EBIT and D&A were in Q3? And then maybe just give us an update on the amount of synergies you hope to achieve and what the go forward EPS accretion could be?
Peter Hoetzinger: Thank you. Could you answer the first part of the question, with regard to the breakout to the asset?
Margaret Stapleton: No, we don’t have that number yet Peter for Q3.
Erwin Haitzmann: Anytime they will answer for the second part, we think we can pick-up few hundred thousand dollars to synergy.
Robert Labick: Sure. And just when I think of EPS, I guess how should I think about the accretion going forward?
Peter Hoetzinger: That we have not Robert, we have not available for the public. We have our internal estimates and we are excited about the acquisition, but we are not giving guidance as to the directly take them on EPS.
Robert Labick: Okay, thank you. I’ll jump back in the queue.
Operator: Your next question comes from the line of Mark Rosenkranz from Craig-Hallum Capital Group. Your line is open.
Mark Rosenkranz: Hey, good morning. Well, and thanks for taking the questions.
Peter Hoetzinger: Hi, Mark.
Mark Rosenkranz: I was wondering if you could comment a little on the cruise ships that you launched at the end of Q2. And it seems over there what’s kind of traction you’ve seen so far in this kind of the early results from those new ships that have been added to the fleet?
Peter Hoetzinger: Yes, we’ve added three new ship casinos, one for the German market with three cruises, one for the British market and those two will probably operate pretty much in line with our existing out of 12 ships. So not really very meaningful synched units, but altogether it’s a nice segment. And to show them that we opened the space in Shanghai, China. We opened that a few months ago. It is cruising between China, Japan and South Korea catering mostly to the Chinese market and that’s ramping up very nicely we’re still figuring out a few things and trying to get the marketing rights then the stocking rights and everything. That one we believe has the potential to really be – we think that ship casino probably be the main driver of revenue in total terms for the next couple of years.
Mark Rosenkranz: Okay, great. And then on the Century Mile first off congrats on the announcement that sounds like a great development. The $50 million projected cost, when do we expect the construction them to see and how do we kind of see that layering out over 2017 and 2018?
Peter Hoetzinger: We’re working on that trend right now probably the most of it will be spent in the second – from the second quarter on.
Mark Rosenkranz: Okay, great. Thanks for taking my questions.
Peter Hoetzinger: Thank you, Mark.
Operator: [Operator Instructions] There are no further questions at this time. I turn the call back over to the presenter.
Peter Hoetzinger: Thank you for your interest in Century Casinos and your participation today. For a recording of the call, please visit the financial results section of our website at cnty.com. Goodbye.
Operator: This concludes today’s conference call. You may now disconnect.